Operator: Good morning everyone, and welcome to the Sensient Technologies Corporation First Quarter 2018 Conference Call. Today's call is being recorded. At this time, for opening remarks, I would like to turn the call over to Mr. Steve Rolfs. Please go ahead sir.
Stephen Rolfs: Good morning. I'm Steve Rolfs, Senior Vice President and Chief Financial Officer of Sensient Technologies Corporation. I would like to welcome all of you to Sensient's conference call to discuss 2018 first quarter financial results. I'm joined this morning by Paul Manning, Sensient's Chairman, President and Chief Executive Officer. This morning, we released our 2018 first quarter financial results. A copy of the release is now available on our website at sensient.com. During our call today, we will reference certain non-GAAP financial measures, which we believe, provide investors with additional information to evaluate the company's performance and improve the comparability of results between reporting periods. These non-GAAP financial measures remove the impact of restructuring costs, currency movements, the impact of the 2017 U.S. tax legislation, and other costs as noted in the company's filings. Non-GAAP financial results should not be considered an isolation from or as a substitute for financial information calculated in accordance with GAAP. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures is available on the Investor Information section of our website at sensient.com and in our press release. We encourage investors to review these reconciliations in connection with the comments we make this morning. I would also like to remind everyone that comments made this morning, including responses to your questions, may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Our statements may be affected by certain factors, including risks and uncertainties, which are discussed in detail on the company's filings with the Securities and Exchange Commission. We urge you to read Sensient's filings for a description of these factors. Please bear these factors in mind when you analyze our comments today. Now, we'll hear from Paul Manning.
Paul Manning: Thanks Steve. Good morning. Sensient reported adjusted earnings per share of $0.89 in the quarter compared to $0.82 in last year's first quarter. Color had a very good quarter reporting solid revenue and profit growth driven largely by the cosmetics and the food businesses. The results in cosmetics continue to be very strong with robust global demand in end markets. We had strong sales and technical resources around the world to help our customers deliver unique formulations for their products and we're making further investments to increase cosmetics production capacity. We also continue to emphasize the commercialization of new products making it easier for our customers to manufacture their products. For example, our cosmetics team recently received the 2018 Beauty Industry Award for the Best Color Cosmetic Ingredient at the recent in-cosmetics global trade show. The food color businesses also performed very well in the quarter with strong natural color growth in North America and Asia-Pacific and I expect these strong results to continue as the year progresses. During the quarter we had a number of significant natural color wins including several natural conversion opportunities with high-profile brands. We also completed the acquisition of globe natural's natural color business. This acquisition gives Sensient significant new natural color production capacity and solidifies our supply chain for several key raw materials. Sensient will maintain its technical and market leadership position in natural colors as customers continue to demand natural colors that perform at parity with synthetic colors. Overall, color performed very well in the first quarter driven by new wins and I expect the group to meet my targets of mid-single digit revenue growth and high single-digit profit growth for the year. Asia-Pacific's revenue did not meet my expectations principally as a result of customer order timing. The group's gross profit was up over last year but was offset by investments in SG&A. We're seeing a lot of positive developments in Asia and we're off to a strong start in the second quarter. The group is on track to meet my growth expectations of mid-to high single digit revenue and profit growth for the year. Flavors & Fragrances operating income was off in the quarter for a number of reasons. First, within our natural ingredients business we're experiencing higher onion cost at the same time that we are seeing pricing pressure due to an increased onion supply in the market. I originally estimated the impact of these issues to be $0.03 in the first quarter and $0.01 in the second quarter. The actual impact was about $0.05 per share in the first quarter. Due to continuing price pressure and lower crop yields, along with higher plant costs due to poor quality crop, I now expect the impact to be a $0.05 headwind in the second quarter and a $0.05 headwind in the third quarter. Second, our fragrance business experienced higher raw material costs stemming from a well-known supply chain disruption that is impacted the industry. We had a short lag in implementing pricing in response to this issue and that had a $0.01 impact on our first quarter results. Barring any additional setbacks from out in the supplier, we do not expect any further impacts on this issue. Finally, the group was impacted by higher costs and lower volumes following the conclusion of restructuring at one of our North American plants. The affected plant has been running well and we’re making progress on reducing costs. However, we're experiencing lower volumes in part due to our restructuring activities but more notably due to ongoing market declines in several key dairy categories. These lower volumes have created a larger financial impact than we projected in February. I am pleased with our progress elsewhere in Flavors & Fragrances. Our BioNutrients business each of our European flavor businesses and our fragrance business each delivered double-digit profit growth in the quarter. Overall, the strategic initiatives we have undertaken and the restructuring program has created a solid foundation for growth and businesses that had previously been uncompetitive and undifferentiated. We're also seeing positive signs with respect to revenue. Flavors & Fragrances revenue growth in the first quarter was approximately 3.5% removing the impact of our divested businesses. The group has had some significant wins already this year including becoming a core supplier to a large consumer products company. New wins in our sweet business outside of the traditional yogurt and ice cream segments that we have served and new wins in BioNutrients. I believe we can build on these successes and now that we have lapped our calling efforts, I expect similar or better topline growth for the rest of the year. I know the businesses in Flavors & Fragrances are performing well, and I expect to see continued revenue growth from the group throughout the year. However, I have to revise our 2018 profit outlook for the Flavors & Fragrances group as a result of a higher onion costs and continuing pricing pressure in the onion market. I now expect profit within this segment to be down in the second and third quarters with growth resuming in the fourth quarter of 2018. I'm disappointed by this development but I remain confident in the long-term potential for Flavors & Fragrances. In light of the revised outlook, I'm adjusting our EPS guidance and I now expect EPS to be between $3.70 and $3.80 for 2018. This represents growth of 8% to 11% over adjusted 2017 EPS. Steve will now provide you with additional details on the first quarter results.
Stephen Rolfs: Thank you, Paul. Sensient’s operating income was $55.7 million in the quarter compared to $24 million in last year's first quarter. The 2017 operating income results include restructuring of another cost of $31.3 million and excluding the restructuring and other costs adjusted - was $55.3 million in last year's first quarter. The foreign currency translation increased both revenue and operating income by approximately 5% in the quarter. Diluted earnings per share were $0.89 in the quarter compared to the $0.30 in the comparable period last year. Restructuring and other costs reduced last year's first quarter earnings per share by $0.53. Adjusted earnings per share were $0.82 in the first quarter of 2017. Foreign currency translation increased EPS by $0.05 in the quarter. Cash flow from operations was $18.3 million in the quarter compared to $31.2 million in the first quarter of 2017. Our cash flow presentation reflects new accounting guidance which now classifies certain cash receipts from securitized accounts receivable as cash flows from investing activities. The amount of cash received reported cash flow from investing activities was $9.1 million in the quarter and $6.4 million in last year's first quarter. In order to compare this presentation to the old method of presentation, these cash flows needs to be added to our cash flow from operations. Capital expenditures were approximately $11.1 million in the quarter and we expect capital expenditures to be between $50 million and $60 million for the full year. Sensient repurchased 1 million shares of common stock in the quarter, adjusted debt to adjusted EBITDA is 2.9 and borrowing any opportunistic acquisition opportunities, I would expect that our leverage will trend toward our long-term target of 2.5 times debt to EBITDA. We will continue to take a balanced, prudent and long term approach to deploying our capital. We continue to evaluate the impact of the U.S. tax legislation that was passed in December. Our tax rate in the first quarter came in slightly better than our 25% guidance. I now anticipate that our 2018 rate maybe a few points lower than my 25% estimate as a result of certain planning opportunities. Later this year there may also be new guidance that may adjust some of the estimated charges we took at the end of 2017, when the new legislation was passed. Thank you very much for your time this morning. We'll now open the call for your questions. Operator, we are ready for questions.
Paul Manning: So operator looks like the first question is coming from Mike Sison from KeyBanc.
Operator: So we have our first question from the line of Mike Sison from KeyBanc. Your line is open.
Mike Sison: Can you guys hear me okay, good sorry. First Steve you did drop off for what it’s worth in some of your comments, but in terms of your outlook for flavors, Paul. I just want to better understand I think you would hope to see organic sales growth or the constant currency sales growth starting in 2Q and building momentum in 3Q and 4Q is that still your outlook for the year?
Paul Manning: Yes.
Mike Sison: Yes, I think we - between a combination of new wins organic growth and a lot of customers that we've been really focused on. I think those factors are certainly looking very good for the remainder of the year. We see a lot of good progress that's been made in fragrances, BioNutrients, our European businesses in particular, but I also see some growth in other U.S. markets and Latin America. Really the headwinds to that growth obviously with the onion pricing issue that's a bit of a headwind. And then of course the dairy market which we had in my prepared comments that continues to be a bit of a headwind. But I think net of those headwinds we still are endeavoring expecting to be in that topline range you just mentioned.
Mike Sison: And then I was intrigued with your comments that you were able to - win a spot on a core supplier position is one of the larger consumer products company. What enabled you to do that you intended to focus on, regional and local players, is there certain technology that they found intriguing or certain product lines that you have that are now you know more competitive on a bigger scale?
Paul Manning: I would say this one of the things that makes this company very special is the fact that we can take a lot of different technologies and apply them to many different markets. And so I think what we see from customers is an interest in suppliers that can bring more and more technologies to the finished product. So whether for example you may be bringing color or flavor to a drink what formally you only brought color or flavor. There is a certain value that we can bring multiple technologies and product lines to many customers who are trying to speed up development or perhaps have outsourced a lot of their development and therefore rely upon suppliers that can bring a whole host of capabilities. And so I think this multidimensional approach we’re taking in the market is very, very effective. And what interesting is I think as well another customer comments that customers are looking to us beyond just for example if it’s a food products, you know hey, can you do flavor and color here yet and by the way it is natural color so it’s very complicated and that may impart different affects on the flavors that a synthetic color might not have, that capability we have is very, very important. But you know they are also looking at that whole product. So maybe that’s being produced in a product that using solvent based inks instead of water-based inks. And so therefore we can bring concept to them on that front as well. So I think in general what enabled what is enabling a lot of our wins right now is this sort of multidimensional technical capability, something that we've been working on for some time and I think what what's really helping there is the nature of customers as we see them are changing right. So the B and C guys for example maybe they don’t have as large of a staff and they are more and more dependent on a supplier. But the speed with which B and C and even some of the A customers now want to launch products. That multidimensional technical approach is very, very helpful in terms of enabling the customers to do that to launch those products more quickly.
Mike Sison: And then you know balance sheet is still in pretty good shape, You made one nice acquisition, any updates on, kind of the acquisition environment are there opportunities to do anything bigger, and the cosmetic actors business seems to be in area that continues to do well for you guys is that potentially in area of focus? Thank you.
Paul Manning: So, we’re happy with the Globe acquisition that’s very consistent with our strategy and it’s really giving us a lot of opportunities to broaden our portfolio and really to the balance a lot of our high-tech solutions as well. In terms of what we look at, again I think if I could say this, if I could find umbrella technologies those are very, very interesting acquisitions. In other words it's a technology not just for food colors, but it's a technology that could be adapted to a lot of things. For example maybe it's helping you on natural colors but it could also help you with extracts, and it could help you with cosmetic actives. And so, it's shows umbrella technologies that I think generate the best return because it is oftentimes difficult for them to market themselves to a company that singly focused on say one or two sets of ingredients. So that would probably be more of our focus than anything else, you certainly heard me say it before there are definitely companies to buy, but in my opinion many of them are very, very expensive and the expectations are you know not consistent with us being able to generate a good ROI for our investors. And so we will continue to shy away from those. But yes, I think in umbrella technologies that can really enable to progress in each of our businesses it would be my principal focus.
Operator: Your next question comes from the line of Brett Hundley from The Vertical Group. Your line is open.
Brett Hundley: I’m just kind of adding up some of the incremental headwinds, you know whether be onion or the fragrances was kind of relative to what you came out with before on your last call. And at least I'm getting to over $0.10 of an incremental headwinds but of course your top end of your guide only comes down by $0.10. Just wondering if you can point out some of the offsets there, is it related to your colors business and some of the natural color wins is there anything anticipated in that number for perspective share repurchase that kind of things just wanted to, we just wanted you to address that please?
Paul Manning: Yes, so if you just did the math, you would say we were at 370 that went down to 380. I referenced some additional headwinds on onions so we just did the math sure, but you’re right. There is probably a little bit more than just onion that’s a headwind. So, you’ve answered part of the question in your statement. Yes, we see a lot of great things happening in the company whether its natural color wins, cosmetic wins, fragrances wins, BioNutrients wins and so sometime it's hard to understand what the full magnitude of those wins may be. But, I’m excited about what I'm seeing and I'm excited about being past calling and restructuring and FX and all of their noise. So we get a nice, clean, and pure view of revenue, and so yes to answer to answer very, very exclusively, I see offset, positive offsets into the businesses that I mentioned I wouldn’t say as I think about positive offsets I have in mind necessarily at this point additional buybacks. So this would really be driven by organic growth and new wins in the business units.
Brett Hundley: I guess I'll follow on to that since we’re talking about buyback and then I just had some more some conversational type questions on your and garlic business. So, just as it relates to your balance sheet and capital allocation and following on with your discussion with Mike, so I guess two parts here. A larger peer of yours recently came into them in a market and paid a really hefty price for natural space company and I know it's your desire to rotate towards acquisitions now that your past calling in physical restructuring of your business. And I know you're talking about umbrella technologies here and I imagine that some of these naturals based companies can give you some of those umbrella technologies. But when you see a deal like that does it affect your ability to conduct M&A in any way in your opinion. And I guess related and the second part of my question is - your share repo for Q1 almost matched that of what you did for all of 2017. So ex the M&A story should we expect this management team and the Board to really prioritize share repo over the interim at levels that could materially exceed years pass. I mean I think you guys have 2 million shares left on your authorization so I just want to get a comment from you on that?
Paul Manning: So let me start with the second part and I’m sure Steve will want to add something in here to. On the share repurchase yes you're right it's about the same magnitude as last year and its may be at the distinction is a matter of timing the magnitude. We did it upfront because ultimately I see a lot of positive developments in the company. I see a lot of negative things in the rearview mirror right now. And so that 1 million share of repurchase should be a very strong indication that we see a lot of positive developments and potential is in the business. Now with respect to M&A sure we certainly look at companies that are purchased and we’re quite aware of those types of activities. Does that change how I look at things, does that in other words as I competing for a company that somebody else is trying to compete with. Often times that's not the case we’re again when we're looking for technologies you find these things and not necessarily in an auction or a brand you heard of so much as you do a lot of research, you understand where there is definitely differentiated umbrella technologies that is often times protected with patents that’s a really solid long-term strategic acquisition. If on the other end of that bookshelf would be an acquisition directed principally at market share I think again you would hear me you’re not going to necessarily see sensing and competing with those types of M&A activities. So yes, I don't really to me there's nothing that changes my philosophy nothing that's happened in the last say six to 12 months in the market that would change my philosophy on the types of companies that we’re looking for. I’m looking to maximize - to get to our 15% ROIC. And I’m not going to do that with going out and paying a hefty multiple for market share is the way I’m looking at this moment in time. I think we're going to get to that ROIC faster where we can get a good technology at a reasonable price and deploy that technology in each of our businesses around the world that what’s going to get me closer and faster to my 15% ROIC.
Brett Hundley: I appreciate that and then…
Paul Manning: Brett, hold the line you want to say something.
Stephen Rolfs: Yes, let me just comment on that so echoing what Paul said about the share repurchase we basically just frontloaded that in the year. And our cash flow we think will be strong in the rest of the year and I’ll bring that leverage down more to our long-term target. And Mike mentioned that I may have cut out in my comments. I just want to say a couple of things about cash flow just to make sure that wasn’t where I cut out. So if you look at our headline cash flow from operation number it looks strange because there is an accounting change that moves some of the cash flows down into financing. If you put that back up you would see our cash flow was down about 10 million in the quarter and almost all of that is attributable to receivables and it’s tied to timing and it’s tied to growth we had in some of our business that grew well like cosmetic and fragrance and natural colors. And so I think cash flow will be strong over the rest of the year. And I wanted to point out I have got a number of questions about inventory and talked to a number investors over the year about inventory. So our inventory levels they were elevated at the end of 2017 and we talked about two reasons for that one was because within our flavor and fragrance business we made a conscious decision to build inventory to support certain businesses that in the past have experienced supply chain and production disruptions. So you could think that as an alternative to maybe investing more capital for more capacity. So there's no margin impact, there’s no cost impact to that we just made a decision to elevate inventory there. The other thing I have talked about within our natural ingredients business is that garlic had been low and our garlic inventories have come back to a normal level. Again there's no cost increase impact from that, that’s just a normalization of our inventories. The only area with natural ingredients where there was a cost impact with the onion and Paul quantified that. So in the quarter inventory is actually were a source of cash I just wanted to point that out. Sorry Brett go ahead.
Brett Hundley: And so long as there is not a big queue behind me I just wanted to have a quick back and forth on your onion and garlic business. So onion the data is certainly there to suggest what you are talking about high import volumes low price. When I try and back into margin impact I’m immediately using a lot of assumptions here. But am I am in the right ballpark with a view that the onion issue is dragging your total F&F segment margins down by about 100 bps in the quarter am I in the right ballpark there?
Paul Manning: Yes, I’d say you’re in the right balance. In fact maybe even a little bit more but your headed down the right street there.
Brett Hundley: And Paul I guess why do you feel better about the end of Q3 now you obviously had a revise your timing and sorry if I miss this in your prepared remarks. But why might you feel better that things can normalize towards the end of Q3 now?
Paul Manning: So couple of reasons with onion we’re just stated the natural ingredient’s business being perhaps the single biggest headwind here. It's really a function of a new crop comes online towards the end of Q3. So that presents a whole different dynamic with respect to market supply as you noted there was a glut of global onion precipitated by some actions that took place overseas and put a lot of onion in the market very unusual event. And so we see that, I think we’re fairly confident that that has already been corrected with respect to what is now being grown overseas. So yes, the supply we expect to come down significantly and that would start in the Q3 timeframe. And so to the extent we expect to sell through our higher costs inventory as well as market pricing normalizing to a more regular supply we see those things principally happening in mid-to-late Q3 and so then we would expect to see those benefits in Q4 okay that’s a real big issue that we’ll get past.
Brett Hundley: And to be clear you don't necessarily see your own production cost normalizing I think there's a lead time there you were making a call on the price the product pricing environment getting better?
Paul Manning: No I think it’s a little bit of both yes, the pricing, if I am right I am pretty sure I am that that will help, but you know some of our costs have been driven about that the yield that we actually achieve this year on onion. So with lower yields obviously there is less flowing figure plant so you have more of that absorption headwind. We also made a deliberate decision to kind of bring down our inventories. Inventories were too two high on some of our product lines over there. And so therefore that was and intended reduction in product close to the plants. So not an explicit cost, but okay you have fewer products to spread your overhead over. We think this year's crop between what we planted and what are expected yields we would anticipate that there will be lesser than accounting absorption overhead problem. But the other factor that we're feeling right now from this crop was it was a lower quality crop. And when you have a lower quality crop you don't necessarily get precisely the product we wanted in the first place. So there tends to be more reprocessing with which comes at a cost for example, and again with a normal and healthy crop come that Q3 timeframe we would anticipate not having a lot of those corps going into Q4 and beyond.
Brett Hundley: And then just very quickly, I hear before on garlic how would you describe, how intact is your margin profile there I mean when I look at dehydrated prices it looks like they’re actually, like they remained pretty solid. Whole garlic prices appear relatively favorable is on a spot basis, how would you characterize your margin profile in garlic right now?
Paul Manning: I think our garlic margin is fairly consistent. Most of the garlics that were getting in fact probably 90% to 95% of it is U.S. based and though there is this thought out there somewhere that that we’re getting this vast supply of garlic from China and that just simply inaccurate, it’s like about 5%. So where as there has been a lot of price movement in the Chinese garlic side of the world. The U.S. side is a lot more consistent.
Operator: We have our next question from the line of Mr. Francisco Pellegrino of Sidoti & Company. Your line is open.
Francesco Pellegrino: First off I know it's been a long time coming to get that a non-GAAP reconciliation as clean as it was in this morning's press release, so congrats on that.
Paul Manning: Yes, thank you. I've been waiting for a long time Francesco longer than you can imagine.
Francesco Pellegrino: Longer then I have been covering the name. So with that being said, I just wanted to touch on some recent disclosures the company had made just about some changes in management Mr. Grover is the parker, this was someone that Paul you had really like raved about and really looked like he was stepping in like when he stepped in towards the end of 2015 you really raved about some of the things that was bring to the table whether it was like his focus on M&A or just like implementing certain strategies for the business or his ability to navigate the supply chain. And it looks as if he sort of like implemented these strategies in which you guys are going to keeping higher levels of inventory to sort of help you, navigate some of your customer orders. And it just seems as if - he leaves and all of sudden we’re faced with these headwinds in Flavors & Fragrances which should be more of a turnaround story now then experiencing these headwinds going forward. It just seems like in odd time to leave when there is only more upside as compared to all the headwinds that have been experienced that you guys have been experiencing in this segments.
Paul Manning: So yes, I mean I guess as I said in the 8-K he left to pursue other opportunities and I guess that pretty much summarizes it.
Francesco Pellegrino: So then where we are today with the Flavors & Fragrances what are you looking for in regards to the next President of the Flavors & Fragrances Group given that they’re going to be taking or they’re going to be leading this segment post restructuring from day one essentially and trying to drive a 20% operating income margin going forward or having all these highly commoditized headwinds that are sort of you know impacting I guess the most recent quarter and the rest of your outlook for 2018?
Paul Manning: So we obviously want an individual who is quite knowledgeable about the industry. We want an individual who is quite clever and proficient on the commercial sales and marketing side of the business. I certainly don't need a restructuring expert when we got that one covered off for a while. So there is a lot of very good talent. And so I think - we’ll be in very good shape when we select the individual, but fundamentally this is, you always need a good problem solver, right people who can overcome obstacles and are intelligent enough to prioritize correctly and exercise good judgment with employees and they’re people who carry a lot of respect. So I think that what we’re looking for here is not unlike what we've been looking for in the past and we’ve made a lot of management upgrades over the years. And we got a lot more A players than we've had ever in the company at all levels. And so I'm pretty optimistic that we've got a very strong team and the individual that we bring in will only enhance that further, but yes to shorten my answer here, an experienced individual from the industry who has a very strong sales and marketing background who could help us to continue to capitalize on the new wins that we have, continue to help us calibrate and refine our value proposition. In another words what makes us different or better than the competition and that those are the important things. So that's what we're focused on in the next candidate.
Francesco Pellegrino: So one of the first questions I get asked all the time whenever I speak to investors on the name is just about catalyst for Sensient and it always comes down to the Flavors & Fragrances Group and obviously that long-term 20% operating margin. You’re going to be finding this external individual that didn't roll up their sleeves over the past couple of years to really bridge you from the 15.7% operating margin that you had in 2017 to where you want this segment to be over the long-term. As compared to maybe just what your response was last quarter, is there any more insight into how we get to a 20% operating margin. Obviously we’ll get some margin expansion once were passed this onion derivative issue. But outside of that, is it through M&A? Is it through more automation? Is it through tampering synergies within M&A? I'm a little bit loss in regards to just really how to bridge the current operations or even if you just want to talk about base here of 2017 to just the long-term operating performance of this segment.
Paul Manning: Yes, start to the very sophisticated concept of just sell more stuff that’s consistent within strategy right. So the strategy for us is about, I’m not going out there necessary to go gain a whole heap of market share on undifferentiated more commoditized products that you win some, you lose some here today gone tomorrow. We really want the sustainable technically driven types of products that create a lot of value for the customer. And so again this is where the notion of more integrated sales, a stronger and continued emphasis on flavors, the idea that we can sell on the integrated front more flavors and colors together. But the other piece of this too is, when you look at flavors and the history this industry, it went from synthetic flavors to natural flavors. I believe and maybe one of my competitors did too, that really the future here is all about extracts and extracts have a great label declaration they view it very positively by consumers. And so I think there's a lot of technical sophistication that goes into extracts that perhaps you don't see in other parts of the flavors industry. So, I think we’re going to continue to focus in that part of the product portfolio as well. And then you consider the calling, well the calling is, you can look at it that as a financial exercise but you could also look at that as a strategic exercise. An indication of what we think is important what we think is important to invest in. And I think with the investments that we've made, it is very lopsided in favor obviously of things like flavors and BioNutrients and fragrance compounds, and natural colors and it's less in terms of supporting things like you know more than mundane or things are more commonly bearable on these markets. So I think that is still the case. We're going to get pass this onion headwind and I think we’re with the topline growth we still expect to show the continuing growth we're seeing in colors and then the acceleration in Asia, I see the margin coming together pretty nicely for us.
Francesco Pellegrino: So it's drive more volume to create more manufacturing and operating leverage in the business model, as well as growing certain product lines like extracts that are higher margin fair?
Paul Manning: Yes. I’d say the first part what you say is certainly inferred from the second part of what said.
Francesco Pellegrino: And then just a last question for me before I jump back into queue. I understand the math and how we sort of reconciled down to the adjusted EPS guidance going forward. If there are way to have the conversation more about a pretax number just so we could sort of back out the noise from share repurchases and the lower effective tax rate because I wasn’t expecting your share repurchase number to be as robust as it was, and I think we could sort of like strip out that noise if we start talking like pretax or if you want to talk adjusted EBITDA whatever it is I'm just sort of looking to get down to the core business.
Stephen Rolfs: So Francesco, Paul mentioned the headwind in Q2 and Q3 - although we expect Flavor & Fragrance grew by operating profit to be down in those two quarters. For the year we still expect to see mid-single-digit improvement in our EBIT so even with those headwinds we expect to grow operating profit or EBIT by mid-single-digits. And I mentioned in my prepared comments, we see a little bit upside in the tax line that might be some of the noise you're talking about. There may be some things that are coming out more favorable, then maybe some planning opportunities that would lower our tax rate two to three points below the 25% which was my previous guidance. So some of that improvement would be in our guidance range. There may be other things that happened later in the year that might be additional upside tied to guidance, that comes out from the IRS that would not be in the guidance range.
Francesco Pellegrino: Steve thanks for the explanation on that cash flow impact and your free cash flow impact. It was something that was a little bit of a hedge scratch, so I appreciate you outlining that during the call.
Stephen Rolfs: Okay good.
Paul Manning: Yes, if anybody on the call is - you’re right that is a little bit of hedge scratch or so certainly we can have follow up calls with folks on that one to clarify that one further.
Operator: We have our next question comes from the line of Fintan Ryan from Berenberg. Your line is open.
Fintan Ryan: Actually filling up my question was on the cash generation and just to confirm, do you have an explicit target for free cash conversion that you’ll be aiming for. And I know you’ve mentioned the timing impact of the inventory receivables impact in Q1. So is this, do you expect that to reverse for the rest of the year just to be clear or is this going to be the full year run rate level? Thank you.
Paul Manning: So on the first quarter cash flow, again inventories were favorable and I think it’s fair to say we’ve reached a peak on inventory. So the things that I talked about in our natural ingredients product line, you’ll now see that trend down over the rest of the year. And I believe we have inventories where we would like them in most of the flavor business units but again I think you consider the sort of a peak and it would normalize for the rest of the year. If I look at last year's cash flow, our headline cash flow from operation number was 180 million that did have 20 million of the accounts receivable securitization in it. So we had - last year we had about 160 million of cash flow from operations and after capital expenditures of 56 million we were at about 105 million of free cash flow. That had in it a significant inventory build. It also had in it some restructuring outflow. So I would expect that we would be able to beat that number this year and again that would come about over the remaining three quarters.
Operator: We have a few more minutes for questions. The last question comes from the line of Garo Norian of Palisade Capital. Your line is open.
Garo Norian: I was curious so I was just relating on some of the announcements on management, has new head of Asia-Pacific been identified?
Paul Manning: Yes, the first announcement just to give away the back story here. The first announcement we made was that we anticipate Rob Wilkins the incumbent to be retiring at some point this year. Once we lock that down, we then issued an 8-K I believe just a few days ago suggesting that Rob will retire officially on June 1. And then yes, we have an internal candidate who is obviously in transition with Rob as we speak who comes from the cosmetic side of the business - been significantly successful on the commercial side of that business. It's operated in three different continents very, very effective in Asia-Pacific. So we are quite excited to have our new head of Asia-Pacific going to be in place officially on June 1. So yes, we've got that one covered.
Garo Norian: And then just secondly going back a little bit to some of the M&A discussion, when you look at some of the multiples that are being paid out there in what is called broadly the space that you play, and then you look at where your multiple is, how do you think about the difference I guess in those two numbers?
Paul Manning: I think our stock needs to be higher I guess will be my first comment that would help close that gap quick soonest. But I think, we’ve had a lot of - as I said noise in the figures over the last couple of years between restructuring and calling and FX. So, I think that's - it's been very difficult for some folks to get a real clear picture of things. I think now that we're past that stuff, that will help tremendously in terms of - again giving people real sense of where we are and where we headed. But I think we’re just going to continue to focus on the revenue side and new wins and continue to grow the EBIT margin and I think that will - I think that will be fully recognized but you know we’re going to see better results in flavors. I think we’re going to continue to see the very good results in the other part of the business. So yes, in short I think the noise is going to probably be the biggest help and I think continuing to improve the results is going to be also quite a good help.
Operator: We have reached the end of conference call. At this time, I will turn the call back to the company for closing remarks.
Paul Manning: That will conclude our call. Thank you very much for your attention this morning. If anybody has any follow-ups, you can certainly feel free to call the company. Thank you again and that will conclude the call.